Operator: Good morning. My name is Lisa, and I will be your conference call facilitator today. Welcome to the Frontera Energy Fourth Quarter and 2017 Year-End Results Conference Call. All lines are currently on mute to prevent any background noise. This call is scheduled for 60 minutes. I would like to remind you that this conference call is being recorded today and is also being webcast on the Company’s website. After the speakers’ remarks, there will be a question-and-answer session. Analysts and investors are reminded that any additional questions or concerns can be directed to the Company at ir@fronteraenergy.ca. This call contains forward-looking statements, which reflect the current expectations or beliefs of the Company based on information currently available. Forward-looking statements are subject to a number of risks and uncertainties that may cause the actual results of the Company to differ materially from those discussed in the forward-looking statements. Factors that could cause actual results or events to differ materially from current expectations are disclosed under the heading Risk Factors and elsewhere in the Company’s annual information form dated March 27, 2018. Any forward-looking statement speaks only as of the date on which it is made, and the Company disclaims any intent or obligation to update any forward-looking statement. I would now like to turn the meeting over to Mr. Gabriel de Alba, Chairman of the Board of Frontera Energy. Please go ahead.
Gabriel de Alba: Thank you, Lisa, and good morning, everyone. The team is joining this morning from Bogotá following the announcement of Frontera’s exceptional 2017 financial and operational results, the successful exploration results so far in 2017 and the exciting news of new additions to senior executive team that will execute the long-term plan and vision of Frontera. Today, I’m joined by Barry Larson, our CEO; Alejandro Piñeros, our Acting CFO; Camilo Valencia, our VP of Operations; Erik Lyngberg, our VP of Exploration and Duncan Nightingale, our VP of Development. On behalf of the Board, we’re excited to add two high caliber senior executives of quality Richard Herbert and David Dyck who are also with us and will start on April the 2nd. Frontera continues to move forward, having largely completed our restructuring and turnaround efforts, with the focus now shifting to growth. Under this strong framework, Richard Herbert has been selected by the Board as ideal CEO to maximize the value from our assets and lead the process required to bring growth and new developments on stream. Having been a member of the Board, Richard is intimately aware of the team and the assets of Frontera. He has been key putting together and is very comfortable with our plans and objectives for 2018 and beyond. His experience will also help maximize the investment and exploration initiatives being undertaken. Richard turned to [ph] Bogotá where he previously led operations for BP and he also brings 36 years of global oil and gas industry experience also including time at Talisman and Phillips Petroleum. David Dyck, brings as CFO, a successful track record of international senior management of oil and gas companies combined with Canadian public company reporting and disclosure knowledge. These are critical to Frontera going forward. David brings 30 years of experience including the financial turnaround as CFO of Penn West and also experience of Marathon Oil, Western Oil Sands and President and COO of Ivanhoe. 2017 was a year of transformation for Frontera as the team restructured operations, conducted an asset review and focused on the production and investment strategy of value over volumes we’re now set up for 2018 and beyond. The team has delivered an outstanding operational and financial result for 2017. The team has met or exceeded all our guidance metrics or exit rate production, operating EBITDA and capital expenditures, leading to the generation of $120 million of net cash flow provided by operating activities in excess of capital expenditures. As you can see on slide four, the 2017 performance has strengthened the balance sheet and operations such that Frontera can now position itself for growth in 2018 and beyond. A healthy exploration program combined with investment in infrastructure assets should position the Company for significant reserve additions in 2018. That would lead production growth in 2019 and value creation in our operations and our midstream assets. On behalf of the Board, we would like to congratulate Barry and our exceptional team for delivering such outstanding results in the fourth quarter and throughout 2017. I would now like to turn the call over to Barry and the team who will go through the highlights of the quarter and update of our reserves, our outlook for 2018 and some of our recent operational successes. Thank you, Barry.
Barry Larson: Thank you Gabriel. Before I start with our results, I would like to extend my sincere appreciation to Gabrielle and the Board for their support over the last 14 months. I would like to say thank you to all the talented people and the teams I have the pleasure working with as we restructured what is now Frontera. When I started, I had an open and flexible mandate to operationally restructure the Company as a proper upstream oil and gas, following the financial restructuring undertaken in 2016. I feel this mission has been accomplished and I’m very comfortable handing the Company off to Richard and David who can take credit for all the future successes of the Company as they execute on the long-term plan. Our production profile is stable and we are investing to position the Company for growth in 2018 and beyond. The tremendous effort that was put in for the understanding of our assets in the early part of 2017 really started to deliver results in the fourth quarter of 2017 and into the first quarter of 2018. We have doubled the capital program in 2018 upto between 450 and $500 million. However, the bulk of our investments in 2018 are expected to add reserves but not contribute to production growth until 2019, given lead times and startups. The way we look at our capital program is that it takes between 200 to $250 million per year in maintenance capital, which targets to keep production and reserves flat, while our infrastructure spending will be split equally between our heavy and light oil assets, which will position them for modest growth going forward. And our exploration spending looks to add reserves and production growth. Prime example is with our core heavy oil asset Quifa where we have previously spoken to increase the initial oil rates on new wells. This has led us to planning 80 to $90 million water handling expansion project during 2018 that will enable the Company to maintain its moderate growth in the field over the medium-term. During 2018, we will be increasing the water handling capacity at Quifa by 40% or about 430,000 barrels a day of fluid with the startup expected in the fourth quarter. The other major driver in increased CapEx in 2018 is high impact exploration in both Colombia and Peru. Colombia, we’re few weeks away from spudding the Acorazado-1 well on our Llanos 25 block. The well is expected to take 90 to 120 days to drill and cost between 35 to $50 million. Analog wells in the Cusiana and Cupiagua complex average over 8 million barrels of oil recovery and had initial production rate between 5,000 and 10,000 barrels per day. Geologically, we carry the risk in this well at over 35% chance of success. However, drilling to these depths in the foothills is mechanically complex. As a result, we have contracted the best 3,000 horsepower rig in Colombia, the Helmerich & Payne rig 900 and we brought in Exceed Well Management from Aberdeen as project managers. They are a highly experienced drilling team consisting of senior management and engineering staff, most of whom previously worked with BP in Colombia and have drilled dozens of successful wells in Cusiana and Cupiagua. Our exploration in Peru is offshore where we will spud the Delfin well in the second quarter on Block Z-1. The well is close to the existing Corvina production platform and is expected to take 40 to 60 days to drill, targeting multiple potential oil and gas zones. Upon success, we would target to bring production on stream in the fourth quarter of 2018.0 I’ll now turn the call over to Camilo Valencia, our VP of Operations, who will go through our operating highlights.
Camilo Valencia: Thank you, Barry. 2017 was a year of stabilization where we were successful in maintaining and a net production between 70,000 and 75,000 barrels of oil equivalent per day and exited the year at 71,000 net barrels of oil equivalent per day. We achieved this while only in spending $236 million in CapEx, which enabled us to drill and complete 94 development wells, initiate further five walls and execute three exploration wells in 2017. During the fourth quarter of 2017 we drilled and completed 39 development works and executed 32 workover and well services. Our operations teams in Peru showed their ability in December as they ramped production up quickly following the settlement, reaching an exit rate in Peru of 9,140 barrels oil a day net. We are targeting similar levels of production in 2018 between 76,000 to 70,000 barrels of oil equivalent per day with two exceptions. One, due to the higher oil price environment and according with the high price close of our association contract with Ecopetrol, we required to pay approximately 1,500 oil a day additional participation in the Quifa block, assuming a yearly average Brent price of $63 per barrel. Second, as discussed in our filings, we have been subject to a community blockade in the Cubiro block in Columbia, which has cost us about 510 net barrels oil a day in average of the year. Despite this challenge, we maintained a balanced production mix between light and heavy oils and work hard to keep our cost structure stable by coming up with innovative ways to manage our operations. I will now turn it over to Erik who will go through the 2017 results.
Erik Lyngberg: Thank you, Camilo. In 2017, we replace 105% of our produced 2P reserves through the drill bit, enhancing our reserve base in line with our strategy of value over volumes. The net effect being that our overall 1P reserves represented 74% of total Company 2P reserves in 2017 as compared to 69% in 2016. This also enabled the Company to increase the before tax net present value of 2P reserves by 9%. Overall, volumetric 2P reserves decreased by 10% because of performance and legacy issues at our La Creciente natural gas asset and at Orito. There are several catalysts being undertaken in 2018, which could make this year significant from a reserves growth perspective including exploration successes we’ve already encountered at Alligator-2 and Jaspe-6D, the implementation of waterflood pressure maintenance project oil, [ph] decreased water handling capacity at Quifa, and most importantly, exploration drilling at the Acorazado prospect on the Llanos 25 block in Columbia and Z1 Block offshore Peru. Success at Acorazado would lead to a further one to two follow-up wells on Llanos 25 block. I will now turn the call over to Duncan to go over some of the detail on our recent near field expiration success.
Duncan Nightingale: Thank you, Erik. Our infill development drilling and near field exploration successes in 2017 and so far in 2018 are a testament to our continued focus on adding valuable barrels. We have remapped our core producing assets and developed new history match reservoir models that allowed us to successfully place new development wells and extend the previous limits of some core fields. For example, in Quifa Southwest field, we undertook a vertical well drilling campaign that has extended the 3P boundary of the field and allowed us to replace Frontera’s net production in 2017 from the Quifa field. In addition, our recent exploration success at the Jaspe-6D well in the northern area of the Quifa block has provided us with encouraging signs, subject to further appraisal in 2018 that we’ll be able to develop Jaspe field and potentially declare commerciality in late 2018. We are also looking at the Cajua and Sabanero fields as a potential extension of the Quifa Southwest field and potentially resulting in another core development area for Frontera. It is still early days but with some additional water treatment capacity added to the area in Q4 2018, we anticipate that we should be able to increase production and develop the new areas proven by the recently drilled vertical wells and improve the overall economics at the Quifa North fields. The Company is also evaluating additional drilling, completion and production optimization techniques to increase the recovery factor. Frontera will also be drilling a further eight vertical wells on the Quifa field, aimed at expanding the field limits further and incorporating new reserve adds. Frontera has also been very successful in 2017 and continuing into 2018, with our light to medium oil assets at Guatiquia with appraisal extending the field limits and recent exploration success on the Alligator-1 and 2 wells. We suspected that the block contained a new play concept near the Avispa-Ardilla-Ceibo or ACA area. And we used our learnings from the Alligator-1well, developed a predictive reservoir model, which is successfully guiding us in the development of the current pulls and the new Alligator discovery. An additional three development wells will be drilled at Alligator in 2018 and at least four more development wells into the proven ACA field. We drilled the Ardilla-4 well in the first quarter of 2018, which was expected to be a water injector well but encountered the water context significantly lower than previously encountered. Prudent reservoir management and development of ACA along with an analysis of the reservoir pressures has also revealed that the pressure support from the natural ACA [ph] is proving to be better than expected which will likely delay the need for a full waterflood program until 2020. I will now hand it over to Alejandro Piñeros for a review of our financial results.
Alejandro Piñeros: Thank you, Duncan. In 2017, our operational teams were focused on delivering the results to drive returns and optimize the cash generation capacity of our assets. Our net cash provided by operating activities in 2017 was $356 million compared to cash used by operating activities in 2016 of $120 million. In the fourth quarter, Frontera generated a $167 million in net cash provided by operating activities, while investing $111 million in capital expenditures. The Company generated a loss attributable to equity holders of $33 million during the quarter, reflecting assets impairments related to the annual reserve process and the impact of mark-to-market risk management contracts. The balance sheet remains extremely strong with over $644 million of total cash, cash equivalents and restricted cash offset by $250 million of long-term debt, which does not mature until 2021. Our G&A cost remained stable around $4 per barrel, and we successfully completed the corporate reorganization of our Colombian entity which are expected to streamline our operations and eliminate legal entity redundancies. Our leverage metrics are strong with a debt to book cap just about 16% and net debt to operating EBITDA at 0.1 times. As a result of our financial strength, in the fourth quarter, we were upgraded by Fitch to B plus from B with a stable outlook and to BB minus with a stable outlook by S&P. Our expected EBITDA for 2018 is between 375 to 425 million with a production range between 65,000 and 70,000 barrels per day, assuming Brent prices at $63 of oil and hedge losses for $68 million. We will continue to protect the balance sheet and our capital program from fluctuations in oil prices with over 50% of production hedged in 2018 between January and October. I will now turn it back to Barry for some comments.
Barry Larson: Thank you, Alejandro. As you can see our new strategy combined with our people and our assets are delivering. Frontera is just getting started and there is a lot of value to be unlocked going forward. I’d now like to introduce you to Richard Herbert, the incoming CEO of Frontera for a few comments.
Richard Herbert: Barry, thank you very much. Good morning, everybody. I really just want to say that I’m very pleased to be taking over from Barry and to be working in Latin America again. As our Chairman said in his introduction, I’ve had several extensive periods of my career working in this region including five years in Colombia and also running businesses in Colombia and Peru. So, I’m very pleased to be back here again. Frontera is an exciting Company with the very experienced leadership and an impressive operations capabilities. I think with our strong production base and the exciting exploration prospects, some of which we’ve heard about in this call, both in Colombia and Peru, we have a very positive future. I know that Barry and his team are focused in the past on stabilizing the Company and addressing the cost base and we are now well-positioned for disciplined growth. So, I feel that I’m joining at a very interesting time. I look forward to meeting the investment community in the coming weeks and months. And now, I would like to hand back to Lisa who will take us through the Q&A session.
Operator: [Operator Instructions] Our first question comes from the line of Jenny Xenos from Canaccord Genuity. Your line is open.
Jenny Xenos: Good morning, gentlemen. Congratulations on very strong results in Q4 and for the year 2017. I have just two questions, please. First of all, what do you expect the Company’s production and cash flow generating capacity to be towards the year-end 2018 and into 2019, when you’re waterflood projects start to take effect? And secondly, could you please confirm that your production guidance for 2018 excludes exploration success? Thank you.
Barry Larson: Thanks Jenny. Yes, to the second question first, yes, we do not have any exploration volumes in the production forecast. and as we’ve guided, we expect exit production to be in the 65 to 70,000 barrel a day range.
Jenny Xenos: And 2019?
Barry Larson: It’s going to be -- 2019, we look at the Company is being stable with our maintenance capital investments on our existing reserves; production growth will come out of exploration.
Operator: Our next question comes from the line of René Burgos from CarVal. Your line is open.
René Burgos: Great numbers, Barry, it sucks to see you go. Thank you very much for the hard work. I had a couple questions for you guys. One is, could you actually help me think through your EBITDA guidance and the math behind those numbers? Second, I also wanted to get a sense of when you were thinking about your reserve report, you said you drilled 39 wells towards the end of the year. If you would have gotten the whole benefit of those wells being drilled either by the end of the year -- or sorry, by the end of the year, what would have been the impact of that or some of the recent news that you would have -- that you just recently discussed on your reserve report?
Barry Larson: Thanks, René. To the second question first on the wells drilled in the fourth quarter. It’s hard to say what it would look like. We’re limited by water handling capacity at Quifa, hence the requirement for the expenditures going forward this year, so that we can ramp -- bring those on, bring new production on with the increased water. It’s really hard to say what impact that would have had in 2018. And for EBITDA I’m going to let Alejandro answer.
Alejandro Piñeros: On EBITDA, basically we are -- our upside is kept for the hedge program that we have in place, close to $68 million that we are not receiving for the hedge program that we have in place that is limiting the upside on the EBITDA.
René Burgos: But then, what is the base Brent price that you’re using? You said it’s $63, is it Brent price you’re using?
Alejandro Piñeros: $63 or $64.
René Burgos: And actuality I will take one last question. Any update on the negotiations behind the pipeline discussions and things of that matter that you guys announced? So I know that you know announced something with the IFC. I’m just curious if there’s any new timeline or any new discussions that you’re willing to share at this point.
Barry Larson: We can’t say where we are. All I can say is that negotiations are going the way we expect them, they are progressing. We still maintain that we should have something to announce in the first half -- by the end of the first half.
René Burgos: Okay, great. Thank you very much. Again, Barry, thank you for hard work and looking for working with the new team.
Operator: [Operator Instructions] Our next question comes from the line of Jason Wangler from Imperial Capital. Your line is open.
Jason Wangler: Good morning, guys. I was just curious on the 2018 guidance, things seem to be pretty much in line. But, I noticed that the production and transportation costs kind of maybe crept up a bit, at least on the high end of the guidance. Could you maybe just discuss that and if you still see some opportunities to drive those down as you go forward?
Barry Larson: Yes. I think the simple answer to that is in the fourth quarter -- third and fourth quarter with the price increase this year, we lost approximately 1,500 to 2,000 barrels a day to the high price share payments in the Quifa field.
Operator: [Operator Instructions] Our next question comes from the line of Shahin Amini from Pareto Securities. Your line is open.
Shahin Amini: A quick one. Richard, where are you going to be based?
Richard Herbert: I am sorry. I missed that question. Could you repeat it?
Shahin Amini: So, question for Richard Herbert. I’m just wondering congratulations on your new post. Where are you going to be based?
Richard Herbert: Oh! Where am I going to be based? Well, thank you to your kind word. Simple answer, I’m going to based in Bogotá because Colombia is very much the center of what Frontera does. And so, I will be moving here in the next few weeks.
Operator: Our next question comes from the line of Ian Macqueen Eight Capital. Your line is open.
Ian Macqueen: Just wondering if you can go through the dispute with the ANH over the course over the Corcel Block? How the outcome actually affects, both your view of what might happen in the future on other blocks? And I believe you also hold some current liabilities on your balance sheet to cover a potential loss which didn’t occur. Can you go over some of those details?
Duncan Nightingale: As far as the Corcel PAP issue is concerned, Frontera, as you probably know, had a very, very successful outcome, which has allowed us to reverse some of the liability that we had with respect to that. So, I think it’s probably remiss of me to go into the absolute politics of how the decision was made. But, it was extremely successful outcome for Frontera. And it’s been a very, very, very positive situation with respect to reversing any potential liability that was attached with that.
Ian Macqueen: And is it too early to say whether or not you could reverse or change the current liabilities that are on your balance sheet like you would -- I assume you would be working towards that but perhaps it’s too early?
Duncan Nightingale: Yes, exactly. And it’s too early to really comment on that substantially but we are working with the ANH and their technical groups to make sure that we have a positive outcome there if at all possible.
Operator: There are no further questions at this time. This concludes the call. Thank you all for participating.